Operator: Good morning, and welcome to the TETRA Technologies 2Q 2013 Results Conference Call. All participants will be in listen-only mode. (Operator Instructions) After today’s presentation, there will be an opportunity to ask questions. (Operator Instructions) Please note that this event is being recorded. Now, I would now like to turn the conference over to Stuart Brightman, President and CEO. Mr. Brightman, please go ahead.
Stuart Brightman: Thank you, Keith, and welcome to the TETRA Technologies’ first quarter 2013 earnings conference call. Elijio Serrano, our Chief Financial Officer is also in attendance this morning and will be available to address any of your questions. Elijio will give a brief overview of our second quarter results and I will follow with a brief presentation, which intern will be followed by your questions. I must first remind you that this conference call may contain statements that are or may be deemed to be forward-looking statements. These statements are based on certain assumptions and analyses made by TETRA and are based on a number of factors. These statements are subject to a number of risks and uncertainties, many of which are beyond the control of the company. You are cautioned that such statements are not guarantees of future performance and that actual results may differ materially from those projected in the forward-looking statements. In addition, in the course of the call, we may refer to net debt, free cash flow, revenues, gross profit, profits before tax or earnings per share, excluding the Maritech segment and special charges, or other non-GAAP financial measures. Please refer to this morning's press release through our public website for reconciliations of non-GAAP financial measures to the nearest GAAP measures. These reconciliations are not a substitute for financial information for period in accordance with GAAP and should be considered within the context of our complete financial results for the period. With that, Elijio, would you please start the financial review?
Elijio Serrano: Thank you, Stuart. TETRA revenue up $221 million and increased 6% sequentially, reflecting the seasonal uptick in activity of our Europe fluids and offshore services. Those improvements are from weakness in Canada and Mexico consistent with what others have reported. Compared to year ago, revenue was down 6% primarily due to lower offshore services. With respect to earnings, earnings per share were impacted by $0.02 of severance reflecting the actions to reduce headcount in Mexico, and also reflect the severance incurred with the G&A cost reduction initiatives at the second quarter. Excluding Maritech and severance expense that we incurred, second quarter earnings per share were $0.18. The weather in Canada and weaker activity levels in Mexico impacted us by $0.03 per share in the second quarter. Fluids division revenue were 100 million increased 6.5% over the first quarter. The seasonally strong Europe fluids activity levels added to the continued solid performance from water management and offshore completion fluids. Operating margins for the fluids divisions were (17.8%) were down slightly from the first quarter. During May, our El Dorado plant was down for several days for scheduled equipment work as we replaced our critical heat exchanger, daily production levels after the switch out of the exchanger has reached to record levels, adding to the continued improvements we have been seeing at El Dorado. Compared to a year ago, operating margins were 230 basis points higher driven by the strong growth in water management. Water management revenue was up 72% versus a year ago and operating income was up over four times compared to a year ago. Production testing revenue of $47 million was down (30%) from the first quarter due to the weather issues I just have mentioned in Canada and the budget cuts in Mexico. Feedback from our customer in Mexico is activity in the Chicontepec offshore liquids rich region will remain soft through the remainder of this year. However, activity in the gas areas of the others regions continues to be adequately funded and represents areas for growth in the near term. U.S. production testing was up 6% sequentially as we’ve experienced continued month to month improvement. Nonetheless, prices in the U.S. remains under pressure as a result of lower than anticipated activity levels in the market. Production testing operating margins of 9.1% were down from 11.5% in the first quarter due to weakness in Canada and Mexico. U.S. production testing operating margins improved significantly from the first quarter, reflecting the cost reduction implemented in the first quarter, the repositioning of assets, and the higher utilization levels of equipment. Compared to a year ago, margins remain under pressure due to Mexico and Canada and tight prices in the United States. Compressco revenue of $28 million was down 9% sequentially as improvements in the U.S. and the Eastern Hemisphere were more than offset by the decline in Mexico. We have seen a steady increase in net compressor units deployed in the United States reflecting the improving market. We have also been able to secure modest price increases in the U.S. and Canada. I mentioned earlier that feedback from our customer in Mexico was activity in the Chicontepec offshore liquids rich region will remain softer in the remainder of the year. Gas activity in the other region in Mexico continues to be adequately funded and presents an area for growth in the near term. We have almost 200 compressors deployed in Mexico outside the liquids rich Chicontepec region as activity is shifting towards the gas market in Mexico. The declining Compressco operating margin was due exclusively to Mexico as we gradually reduce staffing levels as our customers plan for the resumption of activity evolved. Feedback from last week confirms that they will remain soft through the rest of the year and they’re regionally noted. We have completed the majority of our headcount reductions and are moving equipment back to the United States where market conditions are much stronger. Profit margins in the U.S. and Canada in the second quarter improved, reflecting the price increases and the benefit of cost reductions that we’ve had taken. Offshore services revenue of $64.5 million prior to eliminations for work of Maritech was up $27 million sequentially reflecting seasonality of our business. Compared to a year ago revenue was down 20% on lower, heavy lift and diving activity. Diving activity has picked up as we are moving into projects secured earlier this year on new capital and maintenance projects as compared to decommissioning activity. Second quarter offshore services operating margins of 15% reflect a significant cost reductions that we have implemented. Compared to the second quarter of year ago, operating cost are down $14 million or 20% as have downsized the support structure, and reduced barge level operating cost through various supply chain imitative without compromising our ability to serve the market opportunities. We did experience such challenging weather environment in May. Pricing also remains under pressure given the excess capacity that we still see in the market. Nonetheless, the cost action implemented showed a lot of to keep operating margins at 15% position and very nicely to leverage uptakes and activity. Offshore services will continue to generate strong free cash flow given the minimal capital expenditures required. With respect to Maritech, during the second quarter we completed $24 million on work on the Maritech ARO with our own assets. including work completing with assets other than our own and were completed on non-operative properties, we reduced that liability by $22 million, net as an increase of $23.6 million to the reserve to address certain wells. Our ARO liability at the end of the June was $49 million. As scheduled, we are working what remains from plan for us to complete the vast majority of the ARO work this year. We have been challenged by the final wells on our schedule that require extra effort and incurred additional cost we have reserved. We are down to handful of wells and platform and as with typical 80-20 analogy that remaining 20% of the work to be completed is the most challenging. Nonetheless, the management team is managing this daily and aggressively to complete this chapter in our Company’s history. Final item I’d like to address, before turning this back to Stuart on result of some of our recent imitative that we’ve undertaken. Last year, we launched an aggressive cost reduction plan in offshore services. We are now seeing the full benefit of those actions with year-over-year cost down $14 million in the quarter or down 20% from a year ago allowing us to minimize the impact from tight pricing in the market and periodic challenging weather conditions. We’ve reduced our cost structure such that we have leverage as a market continues to rebound and position gets better. We also launched earlier this year a focus on existing G&A cost. Second quarter G&A cost excluding service expense was $1.1 million lower than the first quarter. Consistent with the actions and results from offshore, we expect to see a gradual impact that ramps up every quarter. Our goal of reducing G&A by $16.5 million on an annualized basis by end of this year remains unplanned. With the headcount reductions taken throughout the second quarter, we are on our way towards realizing that $11 million on annualized savings from actions already implemented. We have line of sight for the majority of the remaining $5.5 million and possible implementing those. With what we have achieved in offshore, we remain confident that we will see the same impact on G&A. The third area of focus has been cash flow and working capital management. In Q4 of last year, we raised $87 million of operating cash flow through a series of one-time initiatives. We then shifted our focus towards more sustainable working capital improvements. This is in line with our stated goal of generating $80 million of free cash flow or $1 per share in 2014 after Maritech with free cash flow being defined as cash flow from operations excluding Maritech, less growth and maintenance capital expenditures. In the first quarter of this year, we generated $40 million of free cash flow excluding Maritech. In the second quarter, we generated $35 million. The first six month of this year, free cash flow excluding Maritech with $49 million well on our way toward a stated goal of $80 million next year. On the initiative, we’ve been working on as part of this processes to improve DSO. We initially focused on the offshore region and in the second quarter, we ran three consecutive months of DSO under 60 days which compares to DSO that they were averaging between 80 and 90 days outstanding in the second half of last year that gives you a sense of the actions that we saw that we get as we implement some of our initiatives. We believe we demonstrated progress with our focus on tactical initiatives by accelerating Maritech to get it completed. Reducing operating and G&A cost and the improving cash flow. We believe these represent a foundation towards better and more consistent financial performance by TETRA. We are not there yet and we’ll continue focusing on the basic blocking and tackling. In the mean time there will be market challenges beyond our control such as what we’ve seen in Canada, Mexico and flow start in the U.S. production testing market. Operationally, we also continue to see progress on several funds such as the growth in the water management, the growth in the offshore completion fluids and the improving production levels from our manufacturing facilities. Final data point I would like add before I turn it over to Stuart is our effective tax rate. We expect this year to be between 33% and 34%. First quarter was 34%, second quarter executing the Maritech items was 33%. So, with that let me turn it over to Stuart.
Stuart Brightman: Thank you, Elijio. As stated second quarter 2013 adjusted earnings of $0.18 per share excluding Maritech and severance was a little below the range that we had expected. What we’ve tried to highlight on the call is that there is a couple of markets that are tough, Mexico in particular and those are the contributors to the shortfall as well as some adverse weather in Canada. Just highlighting again the performance of some of the segments and where we go for the balance of the year and beyond. Fluids continue to be very strong, in all components of that segment. In fact in the second quarter as noted the division recorded revenues exceeding $100 million in a single quarter for the first time and very close to record profits, going back way in time. Even within the second quarter several of our offshore projects in the Gulf of Mexico were delayed, so it wasn't the lumpiness of those projects that drove the results. It was offset by continued growth and associated investment in the water management. We continue to accelerate growth in the water; we believe we've got the ability to roll this out to a broader set of geographies in the U.S. Our chemicals business continues to take advantage of strong market opportunities in oil and gas both onshore and offshore. Given the last few years, we're very pleased with the continued progress in El Dorado and the ability to meet market demand and increase productivity and production as we have done that. As stated previously the production testing segment was negatively affected by Mexico and Canada, I would know we have seen a slight uptick in activity as we enter the second quarter in Mexico, of both for testing and for Compressco, a lot of this has to do with the locations we operate in Northern Mexico which have larger gas components and we expect the second half with more normal weather to be much stronger than the first half. And then in our U.S. production testing business as we have stated we expect to show slight incremental improvements as we move through the year we believe the first quarter was the low point for that. In fact we saw both revenue and margin improvement in the second quarter in that business, we expect the pace to be modest, but we have started to see that trend, a lot of it is favorably influenced by the aggressive cost reductions we took earlier this year. This is a business that long term we love both domestically, internationally and we'll continue to look at investment opportunities for our testing business. During July Compressco partner subsidiary announced the flat distribution; we took conservative approach on that given some of the headwinds that we have in Mexico in the short term. I would again reiterate that TETRA boats with testing and Compressco has been in Mexico for several decades, we have done very well there, and we'll continue to be investing in the short term, we'll look at opportunities to move equipment within Mexico to optimize and as necessary other geographies outside Mexico in the short term as those opportunities present themselves. We have another round of cost reduction activities as the activity by district gets reset down there, we're in a process of finishing that, I would highlight all other aspects of Compressco we're positive, we continue to see growth in the U.S. Most of our capital expenditures for Compressco this year unlike last year has been domestic driven, taking advantage in the unconventional applications and our other international markets in the Eastern Hemisphere and South America continue to grow and attract investment. For the offshore services segment we started the quarter with some negative weather particularly in May, as we went through the middle in balance of the quarter we saw our utilization and revenue run rates much stronger as we exited. We’re seeing this trend continue in the third quarter, our major diving and heavy lift assets are booked into the fourth quarter, always subject to our customers getting there P&A and pipeline work done in advance. But we believe that's on track, the market continues to be very competitive and our success in the second quarter in maintaining margins on lower revenues is directly correlated to the cost reductions we have taken over the last several quarters. Maritech, we continue to focus on completing the work on the remaining abandonment and decommissioning, we took a large adjustment during the quarter given some of the challenges we had on some of the final wells. Despite that we still believe that the vast majority of the work will be finished this year and to target that completion early in the fourth quarter. Looking at the balance sheet, relatively flat free cash flow for the quarter despite the significant amount of Maritech work that was done, net debt of 303.5 to the end of June, very encouraging the first half of the year of our ability to generate close to $50 million of free cash flow excluding Maritech, kind of give us the confidence and is consistent with what we have been saying that next year once we finished the Maritech work we view our collection of businesses capable of generating $80 million of free cash flow. This is driven by just a fundamental cash generation of the businesses as well as the continued operational improvement we're seeing in managing the working capital cycle. In addition our ongoing cost reductions give us more confidence in looking forward. In the short term, we continue to be very focused on optimizing the existing assets, managing the cost side as appropriate, but we do see continued growth in our core service businesses that we'll be looking for investment opportunities. Thank you very much, and with that we'll open the call to your questions.
Operator: (Operator Instructions). And the first question comes from Jim Rollyson with Raymond James.
Jim Rollyson - Raymond James: Stu maybe start with offshore, despite looks like revenues are a bit weaker than we're looking for margins held up pretty good, should we think about that second half kind of a normal third quarter being the strongest revenue quarter and then seasonally falling off in the fourth quarter and may be some read on, do you think margins are actually improved if revenues pick up in the third quarter and then just kind of fallen off again in the fourth quarter?
Stuart Brightman: Yes I would say based where we are, a month into the third quarter we certainly would expect to see the normal sequencing of the third quarter being a better quarter sequentially. We have got great backlog, three to four months of typically better weather, we have been fortunate in July, the weather has been good for us, with that I would expect to see some margin improvement as we go into the third quarter expect to work at a pretty good rate through the first part of the fourth quarter and then I would expect which are normal seasonal decline as we get mid-way through the fourth quarter into the beginning of the year. So, I do expect we will see improvement over the second half for the year versus the first half in that segment.
Jim Rollyson - Raymond James: That’s helpful and on the testing business, may be a little color or just a reminder about how much of that business originates these days from Mexico? And then I have got a margin question to ask you.
Stuart Brightman: On the testing side during the second quarter, we probably have 65% two-thirds is U.S. driven, even with some of the challenges so biggest piece of that outside of the U.S. is historically Mexico, it’s a bigger level on Compressco than it is on testing as a percentage of the revenue, I think as we have said on the Compressco call typically Mexico is going to represent 25% to 30% of revenue but not quite as impactful on testing but still significant.
Elijio Serrano: And Jim, I might add that for the total company Mexico in the second quarter represented less than 3% of total revenue.
Jim Rollyson - Raymond James: That’s helpful and Stu on the margin side of that we go back to last year just for production testing, stripping out Compressco is used to be kind of a mid to high-20s margins type business and first half of this year, it’s been in the teens, is that a function of the weather issues, the shortfall in Mexico, is it competition that’s picked up or is it mix to some of the acquisitions or may be kind of help us understand why that’s down and do you think you can that will eventually turn back into those mid-20 margin at some point.
Stuart Brightman: Several pieces that have contributed to that margin deterioration; certainly in the second quarter Canada for us like you have seen for everybody else that’s reported so far was very, very little activity. So I think that’s an anomaly and we would expect that to go back to a normal situation as we go through the balance of the year. I think as Mexico recovers that’s usually a nice margin business for us that will have a positive impact. In the U.S. we started to see a slight improvement in the margin so that should help us as well. Even in the tough U.S. market where there is lot of competitive pressures, the margins are down but they are respectable. We are pleased with where we are; we think we can squeeze a few more cost points out with the activity. Internationally, some of the eastern hemisphere market like Saudi we continue to do well. Brazil has been pretty good although we expected so. Going back towards where we were last year, I think it’s going to take us a while but I do believe this is a business that’s certainly long term and my view is that in the mid-20s margins absolutely.
Operator: And the next question comes from Mike Harrison with First Analysis..
Mike Harrison - First Analysis: Maritech is just a gift that (keeps on giving), isn’t it? Can you may be talk in a little more detail about the complications that you countered with Maritech that led the equation to (date out) a little bit and how much of that was weather related? You mentioned encountering some.
Stuart Brightman: I know that’s a portion although it’s not, it’s not the main contributor the first half of the quarter, we had some weather impact that contributed the biggest piece of that variance during the quarter is going to relate to four or five wells that we are working on at the end of the life we are still having some challenges getting several of those to the finish line. And obviously worse than we expected as we though said that at the end they are the final ones a little bit more challenging, we make good process in June, in July and the goal was to get the wells finished on those two or three platforms that are still out there and then move into platform removal and wind that down. But that’s the driver in the second quarter with those handful of wells.
Mike Harrison - First Analysis: And did the, Maritech issues negatively affect offshore sales and margins to the extent that you won’t, may be able to do as much third party work?
Stuart Brightman: It wasn’t material though. A very significant portion of those wells is done with third efforts as well. So we were able to one through during the second quarter the sequencing for heavy lift barges, pretty much the way we did. Again the only negative on that one was some of the other weather we experienced in the first half of the quarter but I would say since the end of May, through the early August we have had a pretty good run of sequencing and weather under barges.
Mike Harrison - First Analysis: In the fluids business, how much do the El Dorado downtime hurt earnings and could you may be talk about how much of the margin boost we can see from the improving production rates?
Stuart Brightman: Yes, again first thing is this event that you are referencing El Dorado was certainly planned. We had it in our base business for the year, we had a timed planned well in advance and the team up there did a superior job of preplanning project management, getting some of the ongoing preventative maintenance done during the downtime so we went in we were down for several weeks which is what we expected. We've taken the necessary steps elsewhere in our other plants to be able to support the market gap that we had for a few weeks. We came out on time, on budget and ramped up at or above what we had expected and exited the quarter at a, no, production rate that was higher than we've had to date. We've always said that on the fluids division, aggregate we think we'll be getting the margins to the mid high 20s, if you look at where we've been the last several quarters we're kind of in that mid 20s type of margin. I think as we go forward we'll continue to see some smaller modest sequential improvements in margin, part of that driven by some of the productivity gains in El Dorado just like we've seen that sequence for last several quarters as well as water as well as continued growth in the Gulf of Mexico. The thing I always try to highlight on fluids is we've made a lot of investment not just in El Dorado but in our ability to make Calcium Bromide, Zinc Bromide, expanded our capabilities, expanding our blending capabilities in the Gulf of Mexico, so we're well invested and capable of dealing with the increased volumes.
Mike Harrison - First Analysis: And then the last question I had is on fluids. Can you walk through for us how your raw materials are priced in that business and net as we think about the possibility of bromine prices coming higher, does that help you on a relative basis or hurt you?
Stuart Brightman: On a relative basis if bromine prices go up that's positive to us. We have long term agreements that kind of give us some protection against those bromine spikes, particularly if it relates to fluids going into the Gulf of Mexico, in deep water and off shore, the calcium chloride we have other raw material sources that kind of are independent of that, but the big piece that goes off shore, when we see bromine prices going up at the supplier level, that's positive for us.
Operator: Thank you, and the next question comes from Kurt Hallead from RBC Capital Markets.
Kurt Hallead - RBC Capital Markets: I was wondering if you might be able to just give us an update on how things are progressing in the context of your streamlining the operations, and what's your game plan is again exiting 2013, is everything still pretty much on track?
Stuart Brightman: Yes, I think if you look at the key elements we've highlighted and what we've focused on over the balance of the year in 2014, I think fluids, we just continue to look for additional opportunities on the water; leveraged investments we’ve made in the good onshore fluids market and I think that's all as the numbers indicate rolling along as we expected. Testing, we’ve squeezed the organization in the areas that we need to headcount wise, continue to monitor that in Mexico. One of the other efforts that Elijio and his team are doing across the full company, is we’re spending a lot of time just continuing to refine and enhance the management information, the systems, the operational efficiency, all the back office that supports the operations, particularly as we've done acquisitions and hope to do more in the future that's just a platform we want to continue to improve and become more and more efficient; collections, invoicing that's all part of that overall operational improvement. Offshore services gained strong backlogs through the third quarter into the fourth quarter. The team has not stopped on cost reductions they've kind of got that ongoing efforts to just look at every opportunity, and we’ve seen that translate to margins in flattish versus last year and a much smaller revenue line. So I feel good about that. And then Compressco, we've been aggressive in Mexico taking the headcount down. We've been aggressive in looking at how we move equipment. And other than Mexico, I think all our other markets are growing, and so we just continue to focus on what we're doing and we feel good about hitting the numbers the second half of the year we've referenced in the press release which positions our self for a nice positive view of next year, highlighted by the cash generation we'll get post Maritech.
Kurt Hallead - RBC Capital Markets: That's great and then with respect to once again we know that Maritech can be somewhat unpredictable in terms of the way you're laying out for the rest of the year. Is this, you guys think that this is a situation that we can be talking about a year from now?
Stuart Brightman: I don't, I think we want to finish the year with a very modest amount of liabilities on the balance sheet, I think whatever is left at the end of the year will be non operated or something that is come up unexpected I think that's going to be a very small number. We're very, very focused internally in closing that chapter in 2013. Then again we've had surprises; we're not pleased with the magnitude of the adjustments that took place. I remind everybody, the numbers down to $49 million; it's a smaller number; it's getting whittled away and we expect to see finish this year.
Kurt Hallead - RBC Capital Markets: Last thing, just on free cash flows, is there anything, any dynamics that played here that may cause you some concern about achieving your free cash flow once Maritech is done?
Elijio Serrano: On the free cash flow Kurt, so in the second quarter our CapEx run rate is consistent with what we previously guided. So that was not driven by us falling back hard, (abnormally) on CapEx. So CapEx in the second quarter was about $25 million, annualizes to about a 100 million that we’ve talked about historically. You've seen that the earnings have not been at the level that we have expected so we have achieved that free cash flow despite weaker earnings through very aggressive working capital management in the process and we think that we’re still several steps away from maximizing that opportunity. The $8 million that we have targeted for the next year I think is a target that we get more comfortable with every quarter.
Operator: Thank you and the next question comes from the Blake Hutchinson from Howard Weil.
Blake Hutchinson - Howard Weil: So we leave the call kind of loud and clear on the progression with the Mexico, we had a pretty steep ramp down as the quarter went on but Stu you mentioned that at least in July the elements for the business had improved. If we strip out severance costs, is the comparison between Q2 and Q3 overall for Mexico a flat one or we’re still going down in Q3?
Stuart Brightman: I would expect on a normalized basis Q3 will be sequentially better.
Blake Hutchinson - Howard Weil: Okay great.
Stuart Brightman: I think the second quarter was the low point in Mexico. I think it’s going to get sequentially better but I think the third quarter looks more like the second quarter than the first quarter it’s going to clump slow.
Elijio Serrano: Stu, I might add that just to add a bit more color to that by the June time period we’re redeploying assets even from the Puerto Rico region into other regions that were showing signs of activity to where the, by the end of the quarter, we had redeployed assets within Mexico to show a little bit uptick.
Blake Hutchinson - Howard Weil: Yes, it is great, that’s really helpful. And then just getting in a little bit to the fluids business and I guess if we go back to the first quarter call, we had anticipated the typical influx in European calcium chloride business I think to the ton of $15 million, maybe it was not as powerful or was the Gulf and Eldorado being down just kind of working against that to kind of mask that seasonality a little bit?
Stuart Brightman: Yes, I think, the second quarter in the Europe which is big quarter there was pretty similar to what we expected maybe not quite 15 million but a pretty big uplift as far as that goes. I think the Gulf of Mexico wasn’t as lumpy as the first quarter. So as you kind of look at a flattish quarter strong but flattish on earnings you’ve got the continued sequencing up on water. You’ve got the seasonal benefit of the European chemicals business. You’ve got the Gulf of Mexico lumpiness down a little bit again but I think that picks up again in the third quarter and then you have even despite some of the challenges that the plan retrofit in El Dorado, you had a pretty flattish earnings in domestic chemicals business which again says a lot for where we’re in the overall process with that group.
Blake Hutchinson - Howard Weil: Great, that’s exactly what I was looking for and then just finally for Elijio, I want to make sure, we, understand kind of how you’re benchmarking and as we speak about kind of ongoing G&A savings initiatives. You’ve talked about 11 million going to 16.5 million annualized and 1.1 million reductions in G&A in 2Q from 1Q, should we be, as we followed home should we be thinking as 1Q is your benchmark or what is the benchmark that we’re starting from really?
Elijio Serrano: This Q4 last year is a starting point and then we started reducing headcount a little bit in Q1 but mainly in April and then we did subsequent reductions in May, so we didn’t get in the quarter the full benefit of the headcount reductions that contributes towards the $11 million. Then the remaining 5.5 are actually that we’re going to take between another end of the year that are a bit more impaled in, in terms of profit changing and renegotiating of contracts. So when you enter 2014, our G&A cost ought to be 112 of $16.6 million lower on a monthly basis than where we were Q4 of last year.
Blake Hutchinson - Howard Weil: Excellent that’s great helpful and thanks for setting that out for us. I’ll turn it back guys.
Operator: Next question comes from Michael Marino from Stephens.
Michael Marino - Stephens Inc: Just a follow-up on one of questions just asked on the fluids business, a lot of moving parts there going forward, do you expect fluids will be up sequentially despite the seasonal help you had from Europe in Q2?
Stuart Brightman: I think again not to get too precise on that. I think if you look at the trends over the next couple of quarter I would expect the certainly you don’t have that seasonal element in Europe on the chemical side the second half. I would expect we continue to see positive trends on water given the investment that we continue to make in that business and I would think we see positive trends on the Gulf of Mexico. And I would think given some of the production rates we see in our domestic manufacturing plants, we continue to see positive trends. So as a prior call reference its pretty good spike up in the second quarter in Europe. So I think we look similar. We wouldn’t want to put tray that there is a huge ramp up there but there are elements though the other components that will offset the seasonality of Europe.
Michael Marino - Stephens Inc: And how does that mix shift affect profitability in that segment?
Stuart Brightman: I don’t think it’s going to have a material impact on margins. We have been pretty steady on the margins in the mid 20s for a period of time and slowly seeing that go up.
Michael Marino - Stephens Inc: Okay great thanks. That’s all I had.
Operator: The next question comes from Stephen Gengaro with Sterne Agee.
Stephen Gengaro - Sterne Agee: Two questions, the first when you are working through these cost savings initiatives, is it having any impact on your earnings capabilities? How should we think about it from those terms? Is it sort of right sized operations?
Stuart Brightman: My opinion, Stephen, is the areas that we have done most of the work, if you go back to offshore services the company wide G&A, some of the reductions we have made on domestic onshore businesses as the market softened as well as Mexico. My opinion is we have done a very good job being aggressive, and I haven't seen signs of any elements that I am uncomfortable from us going too deep or impacting our ability to service our customers and respond to any projected increases and activity. I think we have done a pretty good job, being aggressive and getting all elements of the company to participate and recognize the objective that we have.
Elijio Serrano: I will give you some detail, if you look at offshore services a year ago, Q1 versus to date; at that point we had two heavy lift barges. Today we still have two heavy lift barges. We had three dive in barges, same thing to date, and then we have capacity for several P&A spreads, we still have that capacity. So when we make this aggressive reduction from the offshore side, we collapse back office functions, we consolidated the support functions; we consolidated management teams without touching the revenue generating assets. The only areas that we have impacted is Mexico, so that as Mexico scaled back, we obviously reduced headcount but if (PEMEX) ramps back up in Q1 of next year, we believe that we got the ability to add those resources back into Mexico. All the G&A reductions are not impacting revenue generating operations, here is what we're focused on streamlining operations and consolidating operations and sharing recourses among the multiple divisions, so that we can get some leverage and cost reductions in that area.
Stuart Brightman: Another area I would highlight Stephen just on that, it is really an important theme when you make changes your ability to continue to increase profitability, the numbers we referenced the net numbers, there is some adds we have made in strategic places, that are netted down to that number. I mean we have taken that time to down market in certain areas to look at elements such as business development in certain geographies and certain divisions, where I believe we strengthen the team; we’re still looking at certain areas. So I think that's something that we have decided where we want to be on the overall cost structure to take the steps, but we've also recognized some areas we want to improve and we build that into the formula.
Elijio Serrano: And a lot of it has also been renegotiating of pricing with our service providers that just as customers are aggressive with us in terms of what we charge for our services, we're equally aggressive with our service providers to match what's happening on the other side.
Stephen Gengaro - Sterne Agee: And then when you look at your guided change, is that primarily Mexico and at worse Canada? Or is there something else that has surprised you, maybe U.S. a little slower than expected? I mean is there anything else that led to the change?
Stuart Brightman: That's pretty much Steven we look at as I said from other earlier questions, second quarter being the bottom point Mexico way off the first quarter getting slightly better as we move through the third and fourth quarter but in aggregate that’s a big mix versus the guidance, the second quarter that’s behind us in Canada, and just an overall lower recovery on the onshore U.S. which is predominantly testing. Those are the two to three items that we did the revision related to it.
Stephen Gengaro - Sterne Agee: Okay, thank you. And then one final question and this is something I could honestly struggle to get my arms around. But when we look at offshore services and when we look at the work you’re doing for Maritech, is the eliminations number a good proxy for sort of the revenue generating capability you’re losing out on by work you’re doing for yourselves and by logic we could back (multiple speakers) differently I think that’s a good proxy to represent the revenue we intent to replace after Maritech by, with other third party work?
Stuart Brightman: And therefore that would be gross profit opportunity that would fall to the bottom line which we’re currently not. So I think that internal revenue today is generating gross profit and in the future it needs to be replaced by similar revenue and profit generating activity with third party.
Stephen Gengaro - Sterne Agee: Okay, at similar margins. So it doesn’t change the bottom line too much is what I’m getting at but it does change the cash flow?
Stuart Brightman: Correct. And again the vast majority of that work that we’re doing currently is related to take in the platforms because we’re at the final stages there. So the real owners fall on that group to go find that replacement revenue and margin.
Stephen Gengaro - Sterne Agee: Okay, that’s very helpful color. Thank you.
Operator: Thank you. (Operator Instructions) All right, there is nothing more at present time, so I’d like to turn the call back over to management for any closing remarks.
Stuart Brightman: Thank you very much. And as always, I appreciate the great questions and Elijio and I will look forward to updating the group nearly November on the third quarter results. Thank you very much.
Operator: Thank you. The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect. Have a nice day.